Josh Masser: Good afternoon, everyone. And welcome to Adyen’s H1 2024 Earnings Call. My name is Josh Masser, and I’m Head of Investor Relations here at Adyen. I’m pleased to be joined today by our Co-CEO, Ingo; and CFO, Ethan. For today’s call, we’ll start with a short discussion on our business performance and financial highlights for the period before heading into a question-and-answer session. For the Q&A, we ask that you please use the Q&A functionality at the bottom of the screen and a reminder that the raise hand functionality will not be used. We ask that you leave your full name and the firm that you represent when submitting your questions and we’ll then unmute you to ask them live during the Q&A segment. Thank you. So thank you, Ingo and Ethan, for joining us this afternoon. Ethan, maybe starting with you, how do you characterize this period in the context of our strategy?
Ethan Tandowsky: Yeah. Thanks, Josh. H1 was a strong period of growth for us, a period where we were able to grow in line with the building blocks that we shared back at our Investor Day in November. We’re especially proud that we were able to gain market share, both with our existing customers as we expanded share of wallet and also with new wins, ultimately leading to 24% net revenue growth year on year in the first half. Also, if you look deeper into where we’re growing, we see that we’re diversifying across more and more verticals. That can be seen in the fact that we had strong growth in each of the commercial pillars that we talk about. And then lastly, on EBITDA margin, the operating leverage that’s inherent to our business model was again visible as we expanded from 43% in the first half of last year to 46% in the first half of this year.
Josh Masser: Thanks for that summary, Ethan. And Ingo, for you, what were some of the key business developments in the period?
Ingo Uytdehaage: Yeah. I see the last half year as a very solid one for us. If you look how we have continued to grow in all regions and they’re performing in line with our expectations, that’s a very strong result for us. If you look, for instance, at EMEA, we continue to grow in a market where we’ve been active for over 15 years. So this market is more mature for us. At the same time, we see growth of 25%. The main reason for this is that we have a lot of verticals where we are active. We have expanded that over the years and that’s one of the reasons why we still have a lot of runway in EMEA. But also going to the U.S., if you look at North America, we grew 30% in the past period. And where I’m specifically proud of is the fact that we continue to grow and win with domestic players, also in Unified Commerce, which is an important growth area for us. Then for LatAm and APAC, these are long-term investments for us, and given the fact that this has a long-term view, we are investing in our licenses. I’m very proud that we got the license in India after years of investment, but also very similarly in Mexico, we got the acquiring license. So also there we are very well positioned for the long-term.
Josh Masser: Great. Yeah. Great to see growth across the regions. So Ingo mentioned that we continue to win big domestic players, particularly in Unified Commerce and that’s a theme we touched upon last period as well. Ethan, can you maybe touch upon some of the other trends we saw in Unified Commerce this half?
Ethan Tandowsky: Yeah. I think our Unified Commerce offering is becoming more and more relevant as time goes by. Not only more relevant to more verticals, but also to help them better provide the right experience to their own customer base. And whereas we started with small format and luxury retailers, we continue to grow with them. We also see that we’re able to expand in a wider set of verticals as we’ve been focused on them for the last years. Take, for example, large format retail. And then especially in the U.S. where we’ve had a big focus, we were able to have great wins with domestic names, names like Scheels or Crate & Barrel, which we added in the first half. At the same time, on the hospitality side, it was our fastest growing vertical within Unified Commerce. And that’s an area where there’s been a big focus on how do we shape the experience for our customers across online and in-store, something that we’re really well positioned to help with and we’re seeing the ability to do that with our customer base. And then lastly, we also share a number of metrics, one of them being how many customers work with us across multiple sales channels. So that’s in-store and online. And that number is growing quite a bit. The majority of customers that added a second sales channel in half were in verticals that aren’t luxury or small format, which is where we got our start. So I think a really good sign that we’re also diversifying across our base and across the opportunity in Unified Commerce.
Josh Masser: Makes sense. So continued growth and diversification seems to be the key theme in Unified Commerce. Of course, we have two other commercial pillars. So Ingo, maybe you can touch upon some of the developments in Digital and Platforms.
Ingo Uytdehaage: Yeah. Absolutely. If you look at Digital, we continue to be the partner of choice for content and subscription services and this comes to the fact that we have a very strong offering in recurring payments, which results in higher authorization rates. Take, for instance, Fubo, which is a sports-first live streaming service. They started to work with us and improved their authorization rates with 1.5%, which is very significant if you’re active in this market. Then on the Platform side, we see continue to grow our business specifically in software-as-service offerings. One of the metrics that we track internally is the number of Platforms that process more than a billion over a period. And we saw that number of Platforms growing to 22. So I think that’s a very strong indication that we’re on the right path with Platforms.
Josh Masser: That’s great. In the last couple of periods, we talked a lot about how our customers focus has shifted towards cost optimization. So Ethan, can you maybe explain how we’re continuing to meet those needs?
Ethan Tandowsky: Yeah. Sure. So it certainly remains a top priority for many of our customers. How do they reduce the total cost of ownership around payments? And given that we’re a small fraction in many markets of the total payments costs for our customers, there is a lot of room for us to help them optimize and we’ve been very much focused on that. Also, in comparison to our premium product, it positions us really well if we can help them drive down their overall payments costs. And so from a few angles, we’ve been focused on it. First, from a product perspective, one example to share is that we’ve been very focused on our U.S. Debit offering. It’s an offering we’ve had for a number of years. But we’ve also doubled down on product enhancements there to be able to really offer a sophisticated experience to our customers, both in being able to reduce cost by using alternative networks, but also in the performance that they see across the use of those networks. And then from a customer perspective, one of the ones I’d highlight is Indeed, a customer that we were able to work very closely with to help reduce interchange and scheme fees so significantly actually that we were able to reduce it by over 40% over their cost savings goal they had around payments.
Josh Masser: That’s great to see some concrete examples there. And maybe shifting focus to it within the business. Ingo, can you share some thoughts around how our hiring has developed through the year?
Ingo Uytdehaage: Yeah. So we continue to invest in our team, albeit at a lower pace than the past two years, but that’s also something that we plan for. We continue to hire in specifically North America in sales and engineering roles. And for the remainder of the year, we still expect to hire a couple of hundreds of people. But of course, we continue to focus on the quality of people. So it’s not a target in itself. As a company, we’ve always been focused on culture, making sure that we hire the right people, and of course, we continue to do so also in the second half.
Josh Masser: Yeah. And I think if we go back for the last couple of years, we’ve really focused on the commercial team. So Ethan, can you elaborate on how those hires are progressing?
Ethan Tandowsky: Yeah. Sure. So the commercial side has been a big focus for us also in the last years as we were hiring at a higher pace. It remains that way. And especially in a market like North America, we had a big focus over the past years. It will take some time for that hiring to be visible in our net revenues. So it’s too early to say that it’s already a big impact in the first half, but the early signs are good. We see that the new hires are able to build pipeline and able to move that pipeline through the various phases of the sales cycle. So we do see good early signs of progress and expect that it will contribute to our growth over the coming years.
Josh Masser: Okay. So we’re progressing in line with our expectations. That’s clear. Now, we’ve talked a lot about this period. And before we go to the Q&A, Ethan, can you elaborate on what all of this means for us financially for the upcoming period?
Ethan Tandowsky: Yeah. Sure. So to start with, let’s talk about how we define our financial objectives. We are very much long-term oriented as a business. We wanted our financial objectives to reflect that. That’s why we sent them over a three-year period. For net revenues, that was for the next three years with an annual rate of between the low 20s and the high 20s. For 2024, we talked about being towards the low end of the range and we continue to expect that that’s the case for the full year. In H1, of course, we had net revenue growth of 24%, so above the low end of the range. And that’s why we also want to give a bit more context on how we expect the second half to play out. For H2, we expect net revenue growth to be lower than what we saw in H1 and that’s entirely driven by the stronger comparables that we had in the second half of last year compared to the first half of last year. We do see strong momentum, though. And therefore, we don’t expect that our net revenue growth in the second half will fall below the annual revenue guidance that we’ve previously shared. For EBITDA, we expect to continue to grow our EBITDA margin to levels above 50% by 2026, and already in H1, saw steps in that direction as we expanded from 43% to 46%. And lastly, I just conclude by saying we feel really well-positioned to be able to deliver against the business opportunity we have and also the expectations that we’ve laid out.
A - Josh Masser: It’s very clear. So it’s now time for the Q&A. For everyone to have the opportunity, we request that you please keep it to two questions per person. As a reminder, we ask you to use the Q&A functionality of Zoom rather than the raise hand function. Please leave your full name and the firm that you represent. We will then invite you to unmute yourself and ask your question. Thank you. Just looking through the list. The first question comes from Harshita Rawat from Bernstein. Harshita, please go ahead and ask your question.
Harshita Rawat: Hi. Good afternoon. Can you expand upon your comments regarding reducing total cost of cus -- ownership for your customers? Maybe give us more color on what you’re doing in your key regions. I’m thinking North America and Europe. I’m guessing in North America Debit Routing has become an important focus area. And more importantly, have your efforts to reduce the TCO for customers also contributed to volunteer gains this period? Thank you.
Josh Masser: Yeah. Ethan, do you want to start on our TCO?
Ethan Tandowsky: Yeah. Sure. So, yes, calling out the Debit networks in North America is certainly one way that we can do it. We’ve put big investment into improving that product over the last period. We’ve already had a strong product there, but even doubling down on that has been important, giving our customers alternative routes to run transactions is often one of the ways that we can help them reduce costs. There are multiple other ways. There are ways to collect more data in the transaction to help reduce the costs. There’s important work we can do around fraud, and of course, auth rates to help them either reduce costs or increase authorization levels. And all of that contributes. Next to, of course, the back office savings, we can help them do by streamlining their efforts around the world and across channels. And then has it led to wallet share gains? Yes, certainly. We have a long way to go with our existing customer base and so the opportunity is really there for us to expand and gain wallet share and we continue to be focused on whatever their top priorities are, and TCO is certainly an important one for many of our customers.
Josh Masser: Great. Thanks, Harshita. Next up, we have Justin Forsyth from UBS. So Justin, please go ahead and ask your question.
Justin Forsyth: Thank you very much, Josh. Can you hear me?
Josh Masser: Yes. We can hear you.
Justin Forsyth: Awesome. Thank you, Ingo, Ethan and Josh. Appreciate it. So a couple of questions here from me. First, I wanted to talk about embedded financial services and the net interest income we started to see roll through the P&L. First, can you help us understand whether that was only in 2Q or if it was also partially in 1Q, just to understand the materiality and the phasing throughout the period? And I guess, is there also a benefit that you’re getting from non-interest-related embedded financial services income, such as interchange, instant payouts or anything else? Secondarily, I wanted to hit U.S. Debit Routing. So are there a lot of other competitors that have similar routing capabilities to Adyen? And are you integrated with each of the pin debit networks in the U.S.? Is there a reason why online debit shouldn’t be a materially greater share of transactions in the U.S., given the lower cost? Thank you very much.
Josh Masser: So maybe, Ethan, you can take the first one on our net interest income. And Ingo, you can take the second one on U.S. Debit.
Ethan Tandowsky: Yeah. I would say that the net interest income that we earned was over the course of the first half. I think it’s really important to understand that, of course, it’s great to see that we’re getting traction with some of these products, but it’s also not that we expect this to be a material contributor to net revenue growth in the short-term. So we continue to focus on building out the right product, on supporting our customers, and of course, some of the products have an interest component to them. That’s why we also show it in our financials this time around. But it’s also going to take some time for it to really be a significant part of our net revenue. In terms of other products which aren’t shown in the net interest income line, yes, it’s true. We have payouts as an example. We have issuing. These are products which also we are embedding into our offering. But which are shown given the way that we earn our fees in non-interest revenues. And they’re also very, very early stages, but hopefully a growth driver for us in years ahead.
Josh Masser: Ingo, on the U.S. Debit.
Ingo Uytdehaage: Yes. On U.S. Debit. The way how we build U.S. Debit is to optimize at the one hand for locals routing and the other hand also for the highest authorization rates. And I think that functionality, the way how we’ve implemented it, is unique. I don’t think that our competitors do that in the same way that we can do it and that’s also why we are very well positioned to work with our customers and offer it. We are continuously upgrading those connections because indeed these are multiple networks, and there’s certainly some work to be done to get to the last stage where we want to be and to have the optimal experience. But we already have a very strong offering for U.S. Debit.
Josh Masser: That’s great, and thank you, Justin, for your questions. Next up, we have Adam Wood from Morgan Stanley. Adam, please go ahead and ask your question.
Adam Wood: Hi. Thanks so much for taking my question. Maybe just first of all, it’s very helpful you to give the outlook into the second half. I think people really appreciate that. Could you maybe just elaborate a little bit on the level of visibility you have into that second half outlook? Are you depending on a couple of key merchants to ramp up? Is it general business across the group that you’re seeing? Anything that you can help us with while you’re comfortable giving that more detailed level of guidance now would be really helpful. And then maybe just secondly, coming back to the U.S., I think last year you talked about the macro not helping in terms of customers looking at costs on making payments decisions. It now feels as if your value proposition really is gaining traction again in the U.S. Could you talk a little bit about what’s changed there and what the mix is between competitive behavior changing, maybe your sales force being more experienced, bigger and also in terms of the product offering and what you have in the U.S. market? Thank you.
Josh Masser: Ethan, do you want to take the first one on the visibility and then Ingo come to you?
Ethan Tandowsky: Yeah. Sure. So, of course, on a regular basis, we’re working with our customer to understand what are the opportunities for us to expand wallet share. Wallet share is the biggest opportunity we have to expand over time, but also in the short-term. And if you look at where we think most of the growth comes from in the second half, well, it’s mostly across EMEA and North America, our biggest regions, where they also have the benefit of having all three commercial pillars live and very active. So first, if we look into the Digital space, we see that content and subscription and delivery and mobility are verticals where there’s a lot of traction, especially with TCO in these markets and where we think we can continue to grow at a strong rate in the second half. In Unified Commerce, we’ve made very significant investments in the product over the past years and that’s allowed us to diversify into other verticals, not just now, but over years in the past. And that gives us the base of customers within Unified Commerce to be able to expand with. So we see strength there. And across Platforms, Platforms is a part of our business, which is growing quickly and is becoming a bigger part of our overall Platform every period and therefore should continue to be a growth driver. In terms of why we shared a bit more, the guidance that we’ve given around full 2024 is that we’d be towards the low end of the range. And given that we’re at 2024 today, we wanted to give a bit more insight into then what we expect for the second half.
Josh Masser: And Ingo on the value prop?
Ingo Uytdehaage: Yeah. On the value prop in the U.S. So I think in essence, our proposition in the U.S. has not changed. We’ve also last year, we were in a very good position to help our merchants to be successful in the U.S. But indeed, we were also having discussions with them for their changed focus on cost optimizations. That’s also where Ethan’s story around a total cost optimization, total cost of ownership comes into play. And I think we have very successfully showed what we can do, for instance, with Debit Routing, how we can help them to lower the total cost of ownership. And that’s what you see reflected in increased volumes in the U.S. Of course, also, there are competitive dynamics. If you look at last year, we heard some noise around other competitors being very aggressive on price. We always kept focusing on value and I think that starts to pay off. And if you think about, yeah, have we really fundamentally changed something to our product offering? The answer is no. But of course, we keep improving and U.S. Debit is an example of this that we have continued to improve over the past couple of quarters.
Josh Masser: That’s great. Thanks, Adam. Next up, we have Mohammed Moawalla from Goldman Sachs. Moh, please go ahead and ask your questions.
Mohammed Moawalla: Great. Thank you, Josh. Hi, Ingo. Hi, Ethan. Two for me. Thank you for that color around the outlook for the second half of the year. Maybe if you can just help us kind of bridge the gap on the cadence of that acceleration into the kind of high 20s by 2026. You talked about, obviously, landing and expanding with customers. But how do you think about new ramp ups? But also, are you dependent on any kind of recovery of lost market share from last year? And obviously, also interested to get your perspective on this narrative around kind of slowing consumer spending and to what extent your businesses can weather that. And then secondly, could you elaborate a bit further on the India opportunity? You obviously announced the technology hub in Bangalore and what are your kind of long-term ambitions there across the three pillars? And is there a playbook you’re using from other markets you have entered or how is India kind of unique and different?
Josh Masser: Ethan, do you want to take the first one on the cadence of our growth?
Ethan Tandowsky: Yeah. Sure. So I think we tried to share where our growth comes from in any given year back at our Investor Day, where we laid out that the bulk of our growth comes from our existing customers and the biggest piece of that is wallet share expansion. If you look into our current base of customers, we still have a lot of room to grow with that existing customer base. At the same time, we’ve been making big investments on the new sales side. And within new sales, we see promising progression from the people that we’ve been able to bring into the team. Ultimately, it takes some time for them to really realize their full impact within that revenues. And so that’s also a big part of what we expect to be part of the acceleration that we see in coming years. So it’s both the new wind side and in our existing base, exactly the same as we laid out back at our investor day in November.
Josh Masser: Great. And Ingo, do you want to pick up on the India opportunity?
Ingo Uytdehaage: Yeah. Of course. So, if you look at India, India is the result of years of investment, both on the technology side, bringing the data localization that is required in India, but also on the license side. So we’re having a proposition now that is super interesting for the merchants that we work with and we use indeed the standard playbook how we go into a new country. So that playbook is that we help international merchants to go local. There’s a lot of need for a solution in India. And if we are successful with that, or if we have onboarded and proven what we can do in a country, then also domestic merchants will be onboarded. But the focus first is on international merchants that go local in India.
Josh Masser: Great. Thanks, Moh. Next up, we have Hannes Leitner from Jefferies. Hannes, please go ahead and ask your questions.
Hannes Leitner: Yes. Thanks. Got a couple of questions as well. Maybe on the financial income, just a quick follow up on the KPIs. Maybe you can provide some KPIs and the due expected payout ratio on interest to sustain it around 80%. So when you take the interest minus the expenses. And then the second question is maybe on Unified Commerce. Have you got the sense that some of your customers have slowed down the implementation of it, given the macro slowdown and their own cost increase? And did you see now there are some acceleration on that side?
Josh Masser: Ethan, maybe you can take both those questions.
Ethan Tandowsky: Yeah. Sure. I think first for the net interest income piece. I think it’s really early days for us. So this is a few deals, not that we have this product out with a wide range of customers. So I think it’s too early to say exactly where the pricing will come in. I think the important part we see is that we can make a difference with our customers, with these products and I think continuing to look at it from a product perspective and an overall holistic perspective of how we support them is going to be how we continue to progress. In terms of Unified Commerce, we haven’t seen to-date that customers have slowed down their willingness to go live. We haven’t seen that to-date. So we continue to work with them on how we can support them, whether that’s a global challenge they face, a multi-channel challenge that they face or even something as simple as operational complexity that we can solve that for them. We continue to focus on that.
Josh Masser: Okay. That’s clear. Thank you very much. Next question. Next up, we have Fred from Bank of America. So Fred, please go ahead and ask your questions.
Fred Boulan: Yes. Thank you very much. So first question around your margin progression. So strong margin progression in H1 and you flagged limited hires for now, but to catch up in the second part of the year. So should we expect slightly less margin expansion in H2 and I don’t know if you can also provide some color around your midterm and ramp up towards your 2026 target. And then second thing, you touched on the kind of early traction of your new growth areas. But it would be good to have a bit of an update around account capital issuing. I mean, the kind of non-requiring business, getting traction and can become meaningful in the next two years would be great?
Josh Masser: Thanks, Fred. Ethan, maybe you can take the first one, the margin progression and then we’ll come to Ingo for the EFP stuff.
Ethan Tandowsky: Yeah. So, in terms of the hiring, yes, we do plan to hire more in the second half. But in the scheme of things, it’s still a relatively small number compared to the overall team that we’ve built over the years. So I don’t expect it to have a major shift on impact between H1 and H2, especially because EBITDA margin progression is typically seen on a 12-month rolling basis. So I would just say here that first and foremost, we’re focused on net revenue growth. We believe that there’s a lot of operating leverage in this business and we’re going to manage carefully where we invest and how we invest to progress towards that 2026 50 plus number.
Josh Masser: Thanks. And Ingo, traction on some of our new growth areas. Can you maybe elaborate?
Ingo Uytdehaage: Yeah. So we certainly have traction on new growth areas. If you look at the financial products, whether that’s capital accounts or issuing, the traction is there. But compared to, of course, our main volume, which is still payments, is still relatively small. So again, this is a long-term investment for us, but the traction is there and we are very confident that we will grow this into the future.
Josh Masser: Great. Thank you, Fred, for the questions. Next up, we have Sandeep Deshpande from JPMorgan. Sandeep, please go ahead and ask your questions.
Sandeep Deshpande: Yeah. Hi. Thanks for letting me on this afternoon. My first question is regarding Unified Commerce. I mean, Adyen has a very productive Unified Commerce and you had incredible growth in the early part of this decade or in the early years of Adyen in your Unified Commerce business. You see today that your Digital and your Platform businesses are growing much faster, is this because of the ongoing economic situation? Is it because of how your customers are -- the cadence of the ramp up or is it because you’ve changed where you want to focus on? Because this looks in the long-term to be where Adyen’s market share compared to its competitors is probably the lowest and you have the greatest potential for growth. And I have a quick follow up. And my follow up is on the markets of Adyen. I mean, when we look at the different markets, your growth, as you just said, early remarks, Europe is still growing very strong, even though you are probably one of the leading players in Europe in this market. Where is it? Why is it that Latin America is lagging compared to where you were when you started off? Whereas Asia-Pacific is doing much better in that regard. Is it because of investment or is it because some strategy decisions you’ve made?
Josh Masser: Thanks, Sandeep. So, Ethan, do you want to take the first one on Unified Commerce?
Ethan Tandowsky: Yeah. Sure. I think, so for Unified Commerce, it’s absolutely an important growth market for us. You mentioned Platforms and Digital Platforms is, of course, growing quickly off a much smaller base. If you look in Digital, it’s also important to understand that a lot of the volume growth that we saw over the last year is driven by a very large Digital customer where they bring a lot of volume to the table. But it’s also important to understand that we’re managing the business mostly focused on net revenue and how do we grow with our customers over time. And therefore, there can be much bigger swings from a volume perspective than from a net revenue perspective. So it doesn’t necessarily mean just because there’s stronger Digital volume growth that Unified Commerce isn’t growing as fast from a net revenue perspective. And just to put that into a bit of context, this large Digital customer that we’ve been working with over the last year who’s driven a lot of volume growth in H1 only made up around 1% of our net revenue. So there can be differences in where volume and net revenue growth come from. And I think that’s an important piece that as we look out to our growth, it’s very much driven off of a wide set of customers who are able to support across each of the pillars more than it’s tied to any individual customer.
Josh Masser: That’s clear. And Ingo, do you want to take the one on LatAm and APAC?
Ingo Uytdehaage: Yeah. Sure. So I think first of all, the places where we have offices, also they help to sell into different regions. So the way how we recognize revenues, so revenues in LatAm is indeed the revenues that we process locally in LatAm. But for instance, LatAm also sells into other regions and that’s not being reflected in that number. So the offices are very successful. The fact that you see less of growth in LatAm as an example is because we are continue to improve our connections there. So we have our own acquiring now in both Mexico and Brazil. That also means that we can further improve our products. So for instance, with anticipations, which is a key feature in the Brazilian market, we have been in a position now to make changes there and we become more in a better competitive position. So for the long-term, we are in a really good position and I expect going forward that our growth rates also in LatAm will further increase.
Josh Masser: That’s clear. Thank you very much. Up next, we have Josh Levin from Autonomous. So, Josh, please go ahead and ask your question.
Josh Levin: Good afternoon. Just one question for me. Historically, Adyen has charged a premium price and hasn’t shown much flexibility when it comes to pricing. Has that changed in the U.S. over the past six months to 12 months? Has Adyen become more flexible in how it prices in the U.S.? Thank you.
Josh Masser: Ingo?
Ingo Uytdehaage: I wouldn’t say that we’ve become more flexible in pricing in the U.S. I think the U.S. is a very competitive market. So we always look at, okay, what kind of pricing can we charge? But we always charge with this value-add or premium mindset. So to make sure that we prove what we can do better than competition and price for it. But indeed, the environment is, if you look at how pricing in the U.S. is, it is lower, for instance, than in Europe. So that is something that we see. But we haven’t changed our strategy here.
Josh Masser: Okay. Thanks, Josh. Next up, we have Alex Faure from Exane. Alex, please go ahead and ask your questions.
Alex Faure: Good afternoon. Thank you very much for letting me on. A question for Ethan probably. Could you remind us of what you include in other services revenues? Remember, there was a bit of treasury management and FX management fees in there. It’s been quite stable over the last 12 months to 18 months. So I was wondering if FX volatility is having an impact on that line of revenues? Thank you.
Ethan Tandowsky: Yeah. Sure. So you’re right. A part of that is FX. We also have things like issuing, of course, very small. But we have a range of different products in there. In terms of FX, I’d say it’s less driven off of volatility and more that we give our customers the choice of how they choose to be settled, whether that’s like-for-like for where possible or whether they’d like us to do the conversion and we give them the full capability to be able to do that. So that’s ultimately what’s leading to the developments in other services primarily.
Josh Masser: Okay. Thanks, Alex. Next up, we have Darrin Peller from Wolfe. Darrin, please go ahead and ask your questions.
Darrin Peller: Guys, thanks. Just when considering trends into 2025 and 2026, I know we touched on this for a minute before, but if we could just revisit how you’re seeing the early progress around the incremental sales you’ve hired over the last 12 months to 18 months. So, top of funnel, type of work being added, how productive they’re being and just how it gives you conviction if we add to the conviction for the 2025 potential growth acceleration. And then a quick add-on would just be, again, I know you don’t run the business around take rates per se in terms of managing to it. It’s more of an output. But overall, I mean, we did see better than prior quarter trends and so I’m just curious if you could help unpack a little bit of what the underlying drivers are in strength there if around land-and-expand or mix or anything else?
Josh Masser: Thanks, Darrin. Ethan, do you want to take both of those?
Ethan Tandowsky: Sure. So first on the people that we’ve hired, what we see is -- we track a few things. We track what is the pipeline that they’re able to build? How do they move that pipeline through the various phases of our sales cycle? And then, of course, we track what does that ultimately mean for realized margin? Given what we’ve shared in the past, it does take quite some time until we see the real impacts of realized margin. First, because their new wins need to go live. But then secondly, they need to ramp up in our land-and-expand model needs to play out. So what we can see more is the opportunities they’re creating and how they move those deals through the pipeline and that looks on track to the things that we’ve seen in the past when we’ve brought in new sales hires. So I think that’s very much in accordance with the expectations we had when we thought about ramping up the commercial teams. And of course, it’s not just sales. It’s focusing on the efficiency that we have in our full commercial engine. How do we make sure that we’re connected across marketing, across sales, account management, across partnerships? And that’s been a big focus for us, too, as we’ve gone through this investment phase. So I guess I’d just summarize by saying so far, everything is in line with our expectations and we continue to believe that this will make a big difference for us over the coming years.
Josh Masser: Second one on take rate…
Ingo Uytdehaage: Yeah.
Josh Masser: … and main drivers.
Ingo Uytdehaage: Yeah. So I think for take rate, the important question for us is are we seeing real pricing change or is there -- or are take rate developments merchant mix based? And if you look at what we’ve seen over the last year and before, we see that almost any take rate development is driven off of merchant mix. So it depends where the volume growth comes from in that period and whether that comes from very large customers or smaller customers, ultimately has the biggest impact on take rate, much more than in something like Pillar, for instance and that continues to be the case. We don’t see that there’s a pricing change really in the customer base. It’s really down to merchant mix.
Josh Masser: Got it. Thanks, Darrin. Next up, we have Pavan Daswani from Citi. So, Pavan, please go ahead and ask your questions.
Pavan Daswani: Hi there. Thanks for taking my questions. I’ve got a couple, if I may. Firstly, new wins seem to have been a larger contributor to growth than H1. I noticed that you didn’t mention the greater than 80% of growth from existing customers that you’ve previously talked about. Should we see this as a new normal or will there be more variation in periods depending on ramp timings? And then secondly, could you give us an update on the competitive dynamics in U.S. Digital, in particular, whether you’re seeing some rationalization in pricing in the market, as well as any changes in customer behavior?
Josh Masser: Thanks, Pavan. Ethan, do you want to take the first one on new wins?
Ethan Tandowsky: Yeah. Sure. So I would say we haven’t really seen a significant change in new wins. The vast majority of our growth in any given period comes from our existing base. The reason we didn’t share that is because in November, we outlined new building blocks of which we split new wins into truly new wins in that year and the ramp up of the previous cohort. And so we want to keep focusing on those building blocks and sharing how those are developing and that’s why we didn’t include it. But ultimately, we see very similar trends to what we saw in the past.
Josh Masser: Thanks. And Ingo, on the dynamics in the U.S.?
Ingo Uytdehaage: Yeah. So if you look at the dynamics in the U.S., it’s very clear that we are growing fast with 30% growth in North America over the first half year. So we’re executing on our strategy. Our story is around reducing total cost of ownership. They really resonate with Digital customers and that’s why we are in this position. Has that really changed the dynamics or is that the result of different competitive behavior? I would say it’s not. It’s really about our strength, what we can do with our customers. It’s the same how we, at the moment, win for Unified Commerce in the U.S. with the wins that we also mentioned, like Scheels. And that’s why, yeah, we are very happy with our development there.
Josh Masser: Great. Thanks, Pavan. Next up, we have Orson Rout from Barclays. Orson, please go ahead and ask your question.
Orson Rout: Hi. Thanks for taking my questions. Two from my side. First is just on the hiring. I saw that in H1, North America was actually still active on the hiring side, whereas in EMEA, you saw a bit of a sequential decrease in FTEs. Should we expect this to be a continuation in H2, where the hiring is primarily North America weighted, where you’re still quite small in terms of FTEs? That’s the first question. Then the second would be on the Platform division. I saw in that division that sort of backing out the eBay trends, it seems that eBay actually saw a bit of a sequential improvement in Q2 over Q1. So I was wondering whether you could speak to that. But then at the same time, if you look at Platforms excluding eBay, that slowed a bit sequentially into Q2. Was that primarily due to comp effects or any drivers there that are important to consider? Thank you.
Josh Masser: Thanks, Orson. Ingo, do you want to take the first one on the hiring trends?
Ingo Uytdehaage: Yeah. Sure. So if you look at the hiring trends, we closely look at where we further want to grow our business, and of course, North America is a very important growth market for us. So we continue to hire there. But it’s also the case for other markets that are important to us. If you just look at single countries here in Europe, like Germany as an example, it’s also where we continue to add commercial people to the team. Very similarly for, for instance, how we want to invest in India, for instance. We just announced our tech hub in Bangalore, which we will further build out next half year. So the growth that you will see in FTEs over the second half will be in multiple places globally. But of course, from a commercial perspective, also where we expect most of our growth.
Josh Masser: Got it. Ethan, do you want to take the second one on our Platform’s growth rate?
Ethan Tandowsky: Yeah. Sure. So, first, on the eBay part, the first part of your question. Yeah, it’s true that the eBay volumes have grown in the first half sequentially. If you look at the ex-eBay numbers, what we see is that Platforms is still the most concentrated of our pillars. At the same time, we’re also adding many new customers and expanding with them. So we added seven Platforms doing over a €1 billion in volume just year over year, up to 2022. So quite significant growth from where we were at. And we continue to see that we can grow wallet share within our existing base, but also add more Platforms who can grow to that scale. And of course, that gives us the opportunity to work with large enterprise customers and reach the longer tail of the market that we wouldn’t reach directly. So yes, it’s -- we see that volume growth is more related to ramp ups that we had over the last year. It’s still very strong growth, strongest that we have. And we still have really big expectations for where Platforms can go, especially as it gets less and less concentrated over time.
Josh Masser: That’s clear. Thank you. Next up, we have Andrew Bell from Wells Fargo. Andrew, please go ahead and ask your question.
Andrew Bell: Hey. Thanks. I also wanted to touch upon the Platform opportunity and just thinking about the mix of point of sale and e-com longer term in Platforms. I mean, in the Platform space, you have a diverse set of merchants there that operate in both but trying to understand what that kind of terminal mix as it continues to tick up as it relates to point-of-sales `age of the overall volume from Platform? And then my follow up was, as we think about the FTE hires planned in the back half of the year here, could you give us a little bit more color? I know you said that the hiring will be targeted in areas where you have a commercial focus, but just trying to think about the composition of those FTEs as it relates to the overall cost per head?
Josh Masser: Thanks, Andrew. Ethan, do you want to take both those questions, starting with the Platforms mix?
Ethan Tandowsky: Yeah. Sure. So, for Platforms, yeah, indeed the question around what’s in person and what’s online. I think where we see a really big differentiation is with Platforms that have a real Unified Commerce need. And I think if you think about most of the verticals we’re going after within the SaaS space, who are seeing the opportunity to embed payments and then financial services more broadly, a lot -- yeah, almost all of them have an in-store component. So it’s a really core part of our offering. Of course, in there -- in our Platforms customer group, you also have marketplaces. The marketplaces tend to be much more e-com focused. But when you really look at the SaaS vertical providers, almost all of them have an in-store component and that’s where we can really make a difference. So I expect that to be a major part of our Platform growth ahead.
Josh Masser: Sure. And the second one, on any considerations around cost per FTEs, we go through the second half.
Ethan Tandowsky: Yeah. Nothing that I’d specifically highlight. I think it is mostly tied to the number of people that we’ve hired. And then if you look at it on a year-over-year basis, that’s mostly lagging 12 months.
Josh Masser: Got it. Thanks, Andrew. Next up, we have Sanjay Sakhrani from KBW. Sanjay, please go ahead and ask your questions.
Sanjay Sakhrani: Thank you. Good morning. Ethan, sorry to make you do this again, but can you just maybe unpack the second half revenue growth expectations? I know in the first half, we had some seasonality with mix and such. So if we’re going to get quarterly numbers, maybe you can just help us think through that and just any assumptions you’ve made in terms of macro or anything else as we think about the sequencing in the second half? And then the second follow-up question would probably be for Ingo. I’m related to sort of FinTech valuations. I mean, those have declined pretty meaningfully. I’m just curious if there’s anything interesting enough to cause you to back off, not considering M&A? Thanks.
Josh Masser: Ethan, do you want to take the first one first?
Ethan Tandowsky: Yeah. Sure. So, I think in general, if you look at where our growth will come from in the second half, it’s going to mostly come from wallet share expansion with our existing customers. That’s what we see and that’s also what we’ve historically seen, that that’s the biggest building block to our growth. I shared a few of the areas where we think that will be strongest and I think we feel very strongly that we’ll be able to see that growth. And the reason for having lower growth in the second half compared to the first half in our expectation is entirely then related to the comparables that we had in the last year and where the second half was stronger. So I wouldn’t highlight anything specifically throughout the period, but more wanted to give a bit of insight, given our H1 numbers were above the low end of the guidance range that we’ve shared previously.
Josh Masser: Got it. Thanks. Ingo, M&A?
Ingo Uytdehaage: Yeah. M&A. Yeah. So we’ve always had an organic growth strategy. And the reason for this is that we strongly believe that building the infrastructure ourselves gives us full control and the moment you would start to consolidate Platforms, you always end up with a question like which Platform are we going to terminate? How are we going to migrate customers? I think there are a lot of examples in this industry where that has been very painful or just not working. Customers select us because of our performance and the fact that we have this full control. At the same time, we’re never dogmatic. But for us, focusing on executing on our strategy, the things that we have already built, that is key to being successful. So don’t expect any change in our strategy so far.
Josh Masser: That’s clear. Thanks, Sanjay. Next up, we have Brian Bergen from TD Cowen. Brian, please go ahead and ask your question.
Brian Bergen: Hi, guys. Good afternoon. Thank you. First question, kind of a Unified impact on Digital. As you expand wallet share in Digital clients, those Digital clients taking Unified Commerce and you’re winning more point-of-sale processing, does that influence the volume share or the retention that you would typically see on the Digital processing side? So meaning are you seeing an incremental uplift on the e-com volumes where you’ve also won more recently the unified portion of the business? And then just to follow up on EBITDA, you’ve offered here second half net revenue growth commentary. Any indications on EBITDA margin trajectory or just important second half cost considerations? Thanks.
Josh Masser: Thanks. Ethan, do you want to take both those thing?
Ethan Tandowsky: Yeah. I would say the deeper embedded you are into your customer the more value we can bring. I think the same is the case in Unified Commerce. If we’re able to work across multiple sales channels, we are able to bring more value because we can connect shoppers online and in-person that has a lot of value to our customers. Of course, if we can do that in more markets, we can add even more value. So I would say, yes, the more business we do with our customers, the more value we can create. Therefore, the stickier it is and that’s why we really do employ that land-and-expand model. Let’s start with showing you that we can add a lot of value, and over time, as we consistently grow wallet share, we’ll show you that the value increases even more over time. That’s our strategy and we definitely see that play out.
Josh Masser: Thanks. And the second one on EBITDA, any indications of trajectory there?
Ethan Tandowsky: Yeah. Nothing specific that I’d call out around H2. I think we’ve been quite clear about how we expect our hiring plans to go. The biggest part of our costs are related to the team. Other than that, there’s nothing specific that I’d call out related to EBITDA.
Josh Masser: Thank you. Next up, we have James Freeman from SIG. So, James, please go ahead and ask your questions.
James Freeman: Hi. Thank you. Ingo, you mentioned the improved authorization rates in your prepared remarks. I realize that’s more of a journey than a destination. But if you could share some context around that, and then I’ll just ask my follow up. Ethan with the full stack improving 82%, what strategies are using to further penetrate, because I know that that’s been an objective over time? Thank you both.
Josh Masser: Thank you. Ingo?
Ingo Uytdehaage: Yeah. You’re absolutely right that optimizing authorization rates is a journey and not a point to itself. I think that’s also where we are being recognized for working closely with our customers. It’s an important factor that our account management teams play together with our data teams to help merchants to understand how they can further improve the authorization rates. I think typically what you see, the more data a merchant can send to us, the better judgment we can make also from a risk perspective, how we get a transaction authorized and that’s also how specifically on the content and subscription type of industries, we’ve been very successful. Our recurring data or recurring engine is very strong. We can use the right risk checks, et cetera. And that’s how we improve the authorization rates over time. But it’s a continuous process. That’s absolutely right.
Josh Masser: And then Ethan, the second on full stack.
Ethan Tandowsky: Yeah. As we shared in the past, our non-full stack volume today is mostly in industries where we weren’t looking to do the acquiring in the past, like airlines, for example, or with certain payment methods. The biggest ones that come to mind are American Express and PayPal, where there’s the option to do that as a gateway volume. Those still remain the biggest parts of the non-full stack volume. So it’s not that we’re employing some specific strategy around it. We’ve brought on most of the own acquiring volumes on our own licenses over the years in the markets where we operate.
Josh Masser: Great. Thank you. And the final question comes from Craig Mauer from FT Partners. Craig, please go ahead and ask your question.
Craig Mauer: Yeah. Hi. Thanks for taking the question. I wanted to ask about accelerated checkout solutions. You’re seeing some accelerated checkout solutions being offered by some of your biggest competitors, and in fact, one of your partners. How do you view those solutions as a way for those competitors to grab share should they show high efficacy in the market and do you plan to compete in that space? Thanks.
Josh Masser: Ingo, do you want to take that one?
Ingo Uytdehaage: Yeah. Absolutely. Yeah. So, of course, what we ultimately want to achieve together with our customers is to make sure that they have a frictionless checkout. So I think all the initiatives that we see around us that can help to improve this checkout is something that we will embrace. That’s also things we’re working on ourselves. So this is absolutely the direction that this industry is taking. And therefore, we also closely follow what others are doing to make sure that we have a proposition that is better than what’s out there.
Josh Masser: Okay. Well, thank you very much both. Unfortunately, we’ve run out of time there. So thank you everyone for joining us today. And of course, if you have any follow up questions, then please don’t hesitate to reach out to the IR team here at Adyen. Thank you very much and have a great day.